Operator: Hello, everyone, and thank you for joining the Univar Solutions’ Third Quarter 2022 Earnings Conference Call. My name is Darius, and I will be the operator for today. [Operator Instructions] I now have the pleasure of handing you over to your host, Heather Kos. Please go ahead. Your line is now open.
Heather Kos: Thank you, and good morning. Welcome to Univar Solutions’ Third Quarter Earnings Call and Webcast. Joining our call today are David Jukes, President and Chief Executive Officer; and Nick Alexos, Executive Vice President and Chief Financial Officer. Last night, we released our financial results for the third quarter ended September 30, 2022, and posted to our corporate website at univarsolutions.com a supplemental slide presentation to go with today’s call. The slide presentation should be viewed along with the earnings release, which has also been posted on our website. During this call, as summarized on Slide 2, we will refer to certain non-GAAP financial measures, for which you can find the reconciliations to the most directly comparable GAAP financial measures in our earnings release and the supplemental slide presentation. As referenced on Slide 2, we make statements about our estimates, projections, outlook, forecasts and/or expectations for the future. All such statements are forward-looking. And while they reflect our current estimates, they involve risks and uncertainties and are not guarantees of future performance. Please see our SEC filings for a more detailed summary of the risks and uncertainties inherent in our business and our expectations for the future. With that, I’ll now turn the call over to David for his opening remarks.
David Jukes: Thank you, Heather. Good morning, good afternoon, and good evening to everyone, and thanks for joining our call. This quarter, we’re going to take a slightly different approach to our earnings call, and there are 4 messages I want to leave you with. Firstly, over the last 3 years, we have fundamentally transformed our company. Second, we’re well on track to deliver record results in 2022. Third, we are a high-performing, critically important, chemistry-agnostic service provider, serving a diverse range of life sciences, consumer and industrial end markets. We are not a chemical producer. And fourth, we’re confident in our future for 2023 and beyond. But first, let me hand it over to Nick. He will talk you through our third quarter results and will also affirm our guidance for the full year. Nick?
Nick Alexos: Thank you, David. I am pleased to share Univar Solutions’ strong Q3 financial results. For our detailed schedules in the appendix, adjusted earnings per diluted share was $0.84 in the quarter, an increase from $0.62 in the prior year’s third quarter. Cash from operations of $257 million was higher than the prior year period, primarily due to net working capital and higher net income. Net working capital was in line with the prior quarter at 15.6% of quarterly sales annualized, reflecting the inflationary impact as well as further investment in inventory as needed to ensure reliability of supply to our customers. Capital expenditures for the quarter were $39 million, which reflect a good mix of high ROI investments. Our ROIC was 22.1% for the quarter, driven by our strong performance and efficient asset utilization. And net debt leverage now stands at 2.1x, within our goal of 2.0x to 2.5x. These ratios are net of a further $100 million of cash returned to shareholders during the quarter through our share repurchase program totaling just over $255 million since last year Q4. Sales were up around 25% on a constant currency basis, and the corresponding gross profit was up 19%. Across all geographies, higher sales and gross profit on a constant currency basis were primarily the result of our pricing discipline in volatile markets. LATAM’s results benefited from the Sweetmix acquisition, which is also performing better than planned. As anticipated, gross profit margins were lower throughout most regions as nonrecurring stock profits abate. EBITDA margins increased for the U.S. due to operating leverage and declined in Canada from lower gross profit margins. LATAM’s margins were lower due to higher WS&A. EMEA’s EBITDA margins were flat despite being impacted by roughly $9 million in currency headwinds. Adjusted EBITDA of $260 million was up by 28% on a constant currency basis, primarily driven by the higher gross profit. Gross profit growth was partially offset by higher outbound freight and handling as well as higher WS&A. During the quarter, we benefited from the last remnants of price inflation, partially offset by the adverse currency effects of a strong U.S. dollar. Moving on to sales trends in our 4 geographic segments. We saw a resilient financial performance despite concerns of a recession in the U.S. and the ongoing conflict in Ukraine. Our Ingredients & Specialties channel continues to gain new exclusive authorizations and our teams of focused technical sellers are helping customers formulate and design products of the future. In Life Sciences, Pharma saw robust share gains as we focus on formulations that have high-quality ingredients for our customers as well as for the medicines of today and tomorrow. Food and Personal Care grew despite dampening sentiment as new supplier partnerships and a focused technical sales force are driving value for our customers and suppliers. In Household and Industrial Cleaning, we saw strong growth in Canada and Latin America as our supplier partnerships have helped us expand our market presence. In lubricants and metalworking fluids, we saw sustained growth due to improving demand within both automotive and heavy-duty equipment, along with solvent pricing discipline. Within our Chemicals & Services channel, we are seeing resilient growth in inorganics, energy, mining, and water treatment. We’re also seeing growth in services as automotive manufacturing returns after an extended period of microchip shortages. Finally, our core local distribution business in the U.S. is seeing strong share gain as we leverage our scale, provide our customers with reliability of supply, and capitalize on our ability to offer a reduced carbon footprint. Our outlook for the rest of the year assumes our normal seasonal trends, with destocking reflecting an economic slowdown, a continuation of the current level of FX rates, and continued chemical price inflation stabilization. Although we are planning for our margins to moderate because of these factors, we expect to continue to grow market share and otherwise execute well as we have for the last several periods. As a result, our guidance for adjusted EBITDA for Q4 is in range of $180 million to $200 million, which implies a full year performance in line with the midpoint of previous guidance, which is $1.06 billion. Let’s review some of the cash flow highlights of our 2022 outlook. By year-end 2022, we are targeting net working capital of 14% to 14.5% of annualized quarterly sales. Based on the typical seasonal patterns, net working capital is expected to be a source of cash in the fourth quarter. However, the full year will be a use due to the year-over-year business growth. Our tax guidance for the full year remains unchanged, which is higher versus last year due to 2022 taxable earnings level and a runoff of NOLs. Given the geographic mix of earnings, we continue to expect our effective tax rate to be in the 26% to 28% range. And we’re expecting approximately $145 million of capital expenditures for the full year 2022. Consequently, our estimated net free cash flow for 2022 is $400 million, which is approximately a 38% conversion from adjusted EBITDA. As mentioned earlier, this quarter, we completed share repurchases totaling $100 million, bringing us to more than 50% of our initial $500 million authorization. Along with our announcements to expand our share buyback authorization, our Board continues to plan to implement a dividend early next year as part of our capital allocation strategy. We are confident in our execution and outlook for the full year 2022 and are preparing ourselves to deliver in 2023 and beyond. David?
David Jukes: Thanks, Nick. Over the past 3 years, we have fundamentally transformed the company, which provides us with a stronger foundation for long-term growth as well as the ability to successfully navigate the dynamic macroeconomic environment. As a reminder of just what we’ve done in that time, we solidified market leadership in North America and reduced our exposure to highly cyclical end markets, like agriculture and energy. We provided visibility and delivered growth in Ingredients & Specialties, and we’ve proven resilience through downturns and during COVID. We successfully integrated the largest acquisition ever completed in our space, delivered the promised synergies on time and have established digital leadership through our SAP migration and suite of customer-centric digital tools. We’ve deleveraged our balance sheet, while still completing tuck-in M&A and improved our margin profile. And in 2022, we’ll deliver over $1 billion in adjusted EBITDA with sustained positive net free cash flow, which we’ve used to opportunistically buy back shares. Today, we’re a value-added service and solutions company serving a diverse range of suppliers and customers in markets from clean water to clean label foods. Distribution is a deceptively complex business, which can make it hard to isolate a perfect growth metric. Because of the diversity of products and geographies we serve, volume alone is not a good proxy for our overall performance. In addition to growth in our markets, we focus on services and metrics that customers tell us they value: Order accuracy, on-time delivery, safety, customer satisfaction, and ESG metrics are objective, measurable, and can serve as growth indicators. The intrinsic value of our business is independent of chemical prices and is largely derived from the 4 things customers tell us they want most: Reliability, safety, technical support, competitive pricing. In these key areas, we continue to make sustained improvements using technology-based innovative solutions. This is what gives us confidence in our future performance. Our transformed business positions us well to continue to navigate the dynamic macroeconomic environment, and more specifically, provides installation against some of the effects of an economic downturn. Looking at the industry broadly, the essential nature of the chemicals ingredients we provide positions us well in terms of economic uncertainty. Whatever the macroeconomic circumstances, our communities will need us to help them stay healthy, fed, clean and safe. In addition, our advantaged position and footprint in North America helps us capitalize on U.S. reindustrialization and near-shoring trends and buffers us from a severe downturn in Europe. As a scaled distributor, we have lower variability in a recessionary environment given the breadth and diversity of our products and end markets. And one of our core competencies is successfully navigating price volatility, which we have proven time and again. And as a solution provider, we connect suppliers and customers through our value-added services, providing reliability as well as the opportunity for cost engineering. These attributes enable us to manage through recessions, and today, we can do so better than ever before. During our Investor Day in late 2021, we laid out financial goals through 2024. And whilst not giving firm guidance, we’ve since stated our intention to deliver on those financial goals a full year ahead of schedule, including the 2023 adjusted EBITDA of $960 million and 50% net free cash flow conversion. This perspective assumed FX rates broadly at 2021 rates, a modest recession in Europe and a flat U.S. economy. Since that time, some things have changed, although our belief in our improved ability to win profitable share and protect our intrinsic value has not, but I do want to provide today’s perspective. First, the U.S. dollar has appreciated significantly. If it stays at current levels, we would see a negative impact of around $30 million. Of course, if the dollar moves the other way, that FX impact will be reduced. Second, the probability of recession in the U.S., whilst still uncertain, has gone up. If there is a moderate recession in the U.S., we have some historical perspectives. During the last 3 major recessions, our performance has dipped by around 10%. But as I already stated, we’re a much more diverse, resilient and robust business than we used to be. Equally important, in an economic downturn, our net free cash flow conversion target of 50% would increase, generating more cash for either debt reduction or capital allocation to investors. We expect to provide formal guidance for 2023 on our Q4 earnings call. Beyond 2023, we’re confident in our future and continue to believe in our ability to deliver growth above GDP, adjusted EBITDA margins over 9%, and have revised our adjusted ROIC target to be better than 20%. In addition, based on our projected organic growth, our share buyback program plans and our expectations for opportunistic M&A, we’re targeting an adjusted EPS greater than $4.50 in 2025. And we continue to target leverage in the 2.0x to 2.5x range. Our capital allocation strategy through 2025 reflects our confidence in our cash generation capabilities as well as the long-term value of our company. Net of capital expenditures, which we expect to be around $150 million per annum. From 2023 to 2025, we continue to believe our business will generate approximately $1.5 billion in net free cash flow. As a result, we have executed a $200 million accelerated share repurchase, and our Board has approved a further $1 billion share buyback authorization to run over the next 4 years. This, along with anticipated dividend payments in 2023, not only demonstrates our confidence in our business, but a serious commitment to returning capital to shareholders. We also expect to target an average of $200 million a year for accretive bolt-on size acquisitions in regions and markets where we believe there are synergistic opportunities for growth, cross-selling and cost rationalization. Our recent acquisitions are already proving to be accretive and are realizing higher planned benefits as we get new authorizations from suppliers ahead of schedule and more extensive than anticipated. So before we come to your questions and to summarize. Over the last 3 years, we have transformed the company, putting the customer at the center of all we do, and expect to deliver remarkable 2022 results. We’re not a chemical producer, rather we are a high-functioning chemistry-agnostic service and solutions provider, highly confident in our operating agility and ability to execute regardless of the macro environment. Through 2025, we continue to believe in our ability to deliver an adjusted EBITDA margin greater than 9%, with 50% net free cash flow conversion, ROIC of greater than 20%, and expect to deliver greater than $4.50 of adjusted EPS in 2025. We plan to use our net free cash flow to fund growth initiatives through a combination of high-ROI capital investments and selected opportunistic acquisitions. With our new authorization, we have $1.245 billion of share repurchase authorization available and have launched a $200 million ASR. We believe we’re in a strong position to deliver long-term shareholder value while fulfilling our purpose and commitments to our people and communities. Thank you for your attention and your interest in Univar Solutions. Please stay healthy and safe. And with that, we will open it up for questions.
Operator: [Operator Instructions] Our first question comes from Laurent Favre from BNP Paribas.
Laurent Favre: My first question is regarding the Q3 to Q4 expected profit drop. I was wondering if you could talk a little bit about how much over-earning you had, had in Q3 compared to the $110 million that I think you called out for H1. And if you could talk about the destocking and price normalization trends between the Ingredients & Specialties areas and the more essential areas.
David Jukes: Laurent, thanks for the question. I mean, I think, first of all, we’re really proud of what we’ve done over the last 3 years to put this company in a position that it is, and the way we’ve transformed this company into a real high-performing service provider, which gives us the resilience and robustness to survive to whatever the macro, we think. In terms of margins, I think as Nick mentioned, we had the last remnants of nonrecurring stock profits in Q3. We don’t expect any of those in Q4. In Q4, we are seeing the usual seasonality that we see in Q4, plus a degree of destocking. We had 3 days less trading in the quarter than we had in Q3, which also contributes, but there is an element of destocking going on at the moment, which we think will last through the quarter. And that covers both sides of the business. It covers the Chemicals & Services business and the Ingredients & Specialties business.
Laurent Favre: And maybe if I can ask on 2023. From a geographical standpoint, it’s obvious that Europe is more at risk. But at the same time, Europe is where you’ve got some more exposure to the Ingredients & Specialties side. I mean, would you say that in terms of the downside to your 9% EBITDA margin target, the issue is still the European region? Or is it also in the U.S.?
David Jukes: No, I think we’re very confident in our 9% target, and we’re very confident in all the targets we’ve set out. Better than 20% ROIC, the $4.50 EPS by 2025. And I mean, you’re right that our business in Europe has a high proportion in the Life Sciences area, which makes that more robust through a downturn. People still need clean food, clean water, clean medicines through a downturn. So we feel good about that. And of course, we do see a lot of strength in the U.S. market with reindustrialization in the U.S., energy transition, near-shoring. And very fortunate to have, really, an unrivaled asset footprint in that market to buffer us against any downturn in Europe.
Laurent Favre: And just to squeeze one last in. On the 9% margin, just I’m cognizant that in Q3 you were below the 9%. I’m wondering if you can talk about what is in your control to improve from that level of Q3 2022, which I think was below 9%. Can you talk about those measures?
David Jukes: Sure. I mean, really, Q4, it’s not a good proxy as margins are compressed by that seasonality and destocking and the relatively higher bonus payments in the quarter. I think in 2023, we think that we can still support our margins. We have a value capture program, which we expect to do $40 million in the year. We still have positive mix trend between our I&S business and our C&S business. But I think most of all, Q4 is not a great proxy for looking at where Q3 is because of the seasonality and the destocking.
Operator: Our next question comes from John Roberts from Credit Suisse.
John Roberts: Congrats on a nice quarter. 2025 is a long way out, but that $4.50-plus EPS target is well above consensus. Could you help us build a bridge from current to there, just in big buckets, how much is share repurchase? How much will be bolt-ons? How much do you think will be organic growth?
David Jukes: Thanks for the question. Yes, 2025 is a way out. But I mean, look, we’re incredibly confident about our ability to deliver and also the cash generation of this business. Just bridging from where we are today to that $4.50, about half of that is in share repurchases. The other piece then is in organic and inorganic growth. And so it’s kind of in those 2 kind of buckets.
John Roberts: All right. And then in the past recessions, you talked about the 10% kind of peak-to-trough decline in EBITDA. Maybe just give us some metrics on the biggest changes in the mix between then. I’m thinking about ag is not there anymore. Energy is much smaller. Can you just like parametrize them how much they’ve gone down as a percent of your business, or maybe something like caustic and so forth?
David Jukes: Sure. Look, we are a much more resilient, robust business today than we were during the last 1, 2, 3 downturns. If you think about energy, energy was probably something like 15%, 18% of our business way back. Now it’s less than 8%. Ag was 5%, 6% of our business. Today, it’s 0. And so we are now -- over 1/3 of our business is in that Life Sciences, Industrial Solutions space. Products like caustic are required to keep us clean, keep our water clean. And so it’s not necessarily the chemistry. That’s why we say we’re chemistry-agnostic. It’s the end markets that we serve, which are much more robust and resilient. And whatever the macro environment, what we’ve learned from recent downturns is the products we supply help keep our communities healthy, fed, clean and safe. And that’s a really important thing to take us through the next period.
Operator: Our next question comes from Joshua Spector from UBS.
Joshua Spector: So in your comments on ‘23, you talked about additional value capture opportunity in a downside scenario. Just curious what levers you have to pull and how meaningful those could be relative to what you view as potentially earnings downside.
David Jukes: Josh, thanks for the question. Look, I think we already have programs in place to look at how we value-capture. A large part of those are in transportation. They’re in the back office arena as we really start to drive the benefits from the digital investments that we’ve made over the last couple of years. So we feel pretty confident about our ability to achieve those without doing anything out of the ordinary, like a RIF or anything of that nature. A lot of our costs are very variable. We don’t have a big fixed asset base. We are relatively asset-light, which means that we can variabilize our cost in a downturn pretty quickly. That’s been our experience through the last several. And we have a management team here that have lived through several downturns. So it’s not a new thing for us.
Joshua Spector: Okay. And I mean, without, I guess, explicitly getting to guidance for next year, I mean, if we annualize the second half here, you’re close to $900 million. Obviously has FX in there and destocking in there. I guess, what are some of the puts and takes? I mean, you talked about share gains in the other businesses, the mix effect. Like what are the positive adders and the negative risks there that we should be looking at?
David Jukes: Well, you’re right, we’re not giving guidance at the moment, and we’ll do that in February. I think that if you look at what we said at our Investor Day and the targets we set out there, it is about share gain, and we are seeing share gain across our business. It is about new supplier authorizations driving more product to us, and we’re seeing those come through. So there’s a lot of positives that we’re seeing in the business just because we’re executing incredibly well. Add on top of that some very selective M&A, and you can get to a reasonable number.
Operator: Our next question comes from Kevin McCarthy from Vertical Research Partners.
Cory Murphy: This is Cory Murphy on for Kevin. I was curious, as it relates to the capital allocation, after the ASR is completed, what should we expect for the pace of share repurchases? And I’ll leave it there for now.
David Jukes: Thanks for the question. I mean, I think you should be -- there’s $1 billion share buyback authorization the Board has now approved. And you should see that really ratable across the 4 years.
Cory Murphy: Okay. And as a follow-up, as you’re buying back shares, you have the annual CapEx spend of $150 million and M&A of $200 million. Are you expecting to be able to do all of that at the same time? Or if something comes up and you’re able to acquire, would you put off share repurchases or maybe not grow the dividend going forward?
Nick Alexos: Yes. I would say, Cory -- it’s Nick. The free cash flow conversion that we talked about 50% is net of CapEx. So the CapEx is already deducted from that. So whatever EBITDA you use, we have 50% free cash flow. That affords our ability to do a share buyback ratably, as David mentioned, as well as we’ve spoken about a dividend. In addition, M&A, we would have availability under our bank financing or existing cash flow as we would end up at the end of the year. So all of that can be done as we’ve outlined with the expected free cash flow of the business and the availability of our credit lines.
Operator: Next question is from David Begleiter from Deutsche Bank.
David Begleiter: David. Some companies have begun to announce cost actions or permanent asset footprint changes in Europe given the new dynamic in that region. I know your costs are very variable, but are you thinking about pushing forth less resources in that region going forward?
David Jukes: David, thanks for the question. We rationalized our assets in Europe some years ago. It’s something I did when I was there, and it’s something that’s carried on. And since then, we have a pretty good, tight, efficient network of assets. It’s a very high-performing business, our European business. More than half our business there -- or about half of our business there is in that kind of Life Sciences specialty space. So that’s pretty asset-light. So I don’t think we’re thinking about major restructuring in our European footprint. We’ve continued to manage that footprint over the several years, and we’ll continue to do so.
David Begleiter: Very good. And just in Q4, is destocking worse than typical this season? It sounds like, from other companies, it is pretty severe.
David Jukes: Yes, it is. Yes, it is. I mean I think that what we’re seeing, and we think we talked about this the last quarter, what we’re seeing is, if we visualize it down to certain segments, more customers buying from us, more transactions, but lower volumes. And we’re also seeing people buying on a much shorter time line. so people are ordering today for tomorrow. So people are really managing their stocks down. That’s driven by the uncertainty in the marketplace. So it is a little more severe than you’d expect for the normal Q4 dipping for the tape.
Operator: The next question comes from Steve Byrne from Bank of America.
Unidentified Analyst: This is Rob Hoffman on for Steve Byrne. My first question is, how do EBITDA margins compare between the 2 businesses? And is it reasonable to assume that I&S has higher gross margins than C&S, but more development and commercial costs would be in the I&S business?
David Jukes: As you know, we report regionally, that’s how we brought our businesses out. So we don’t separate and disclose what those margins are like separately. We did give some indications generically at our Investor Day last year, but we report by regional and geographical segment. That’s how we view the business.
Unidentified Analyst: Understood. And I guess just a quick follow-up. What fraction of your commercial organization is business line specific versus having a regional focus and selling all-Univar products? I mean, how has that changed in the last few years and affected sales growth?
David Jukes: Well, again, I think we’ve signaled and explained on a number of occasions, we’ve built these dedicated industry verticals out. We’ve done that over the last several years. I’m not sure exactly what the number is, but I would imagine it’s something like 60-40, 60% of Chemicals & Services business, 40% of the Ingredients & Specialties business. Certainly, having a dedicated focus on food ingredients through foodology or through pharma or through beauty care has delivered growth because we have tremendous expertise in those markets, and that allows us to help customers right now, and when they’re looking for lower-cost formulations, do the cost engineering to keep them competitive. So having that dedicated organization, commercial organization, technical support organization, is key to driving growth in those specialty verticals.
Operator: The next question comes from Michael Leithead from Barclays.
Michael Leithead: Congrats on another good quarter. First, I just wanted to follow up on ‘23, and I appreciate you’re not giving formal guidance yet, but I figured I would try to ask anyway. I think, David, you originally talked about $960 million EBITDA in ‘24. You brought that forward to ‘23. Now if I look at your slides, you’re saying FX is negative $30 million and the macro is probably slightly worse, which is all fair. So it feels like somewhere in the low $900 million is a good starting point for 2023 EBITDA. Is that logical?
David Jukes: Mike, thanks for the question. And thanks for trying to get me to confirm guidance, which I’m not going to do. I mean, your math makes sense. But as I said, what we’re very confident about is our ability to execute. What we’re very confident about is we have a high-functioning service provider, chemistry-agnostic, serving a diverse range of marketplace, which makes us resilient and robust. I can’t control the macro, and I have no clearer crystal ball than you have. But we’re very well positioned to manage whatever the macro delivers.
Michael Leithead: Got it. Makes sense. Fair enough. And then, Nick, just on working capital. I think this year, it’s going to end up to be about $190 million headwind. How much of that do you think can roughly get back next year?
Nick Alexos: Yes. A lot of it depends on where you think pricing could end up being. But we would expect that if pricing stays stable, our cash flow number next year would be positive on a working capital basis versus where we end up this year, a slight positive year-over-year next year.
Operator: The next question comes from Duffy Fischer from Goldman Sachs.
Duffy Fischer: First question is just around the impact of the allocation that big suppliers are giving you. So on one hand, you could argue, as their salespeople are less busy now than they were a year ago, they may try to claw back some business that they’ve farmed out to you. On the other hand, their sales are low. So if you can sell stuff for them, that helps their operating rates. In times of distress like this or down volumes, how does that play out generally? Do you pick up allocation? Or do you generally lose allocation when things get slow like this?
David Jukes: Duffy, thanks for the question, and welcome back. I mean, we have really, really strong supply relationships, and our suppliers have really worked incredibly well with us and through the last 3 years when product have been tight, and we really appreciate their support and value their support. Typically, when the markets ease up a little bit, they look to address their own cost base. And I would never say that their sellers are not busy. I’m sure they are very busy, the ones I know certainly are very busy. But people think about what their channel strategy ought to be and what proportion of their business ought to go through a different channel than the direct sales channel. And also, as I mentioned a few moments ago, customers’ buying patterns at the moment have changed. People are buying today for tomorrow, and they’re buying less than they did. And that really means that distribution is a very important channel because that kind of service level is not something that producers can typically easily managed. So we feel very confident in our supply relationships. The number of new supplier authorizations we have continues to rise through that Ingredients & Specialties vertical. But we have really good relationships, really strong relationships with our suppliers. We are a valued channel partner for them, and they value what we can bring to the marketplace for them.
Duffy Fischer: And then maybe just take 1 more shot at trying to understand the Q3, Q4. So if I look back the last 6 years, the worst drop Q3 to Q4 was about $25 million. The average drop is about $12 million, and more, this is kind of the bridge and into ‘23. When you look at the abnormal drop that you’re forecasting at your midpoint, do you think that cleans up all the abnormalities in Q4? Or when you look out into January, February, is that stuff is going to kind of bleed into ‘23? Just trying to understand kind of the discrete pieces that make Q4 significantly worse quarter-over-quarter than it’s been in the last 6 years, and then what that means for the early part of next year?
David Jukes: Sure. So a couple of things. Firstly, we’re very confident about our ability to execute in 2023. That’s why we’re committing so much to share buybacks and to other return of capital to shareholders. If you look back on the last 6 years, Duffy, as you remember, we had an Ag business, and there was a seasonal spike in Q4 in Ag. And so it’s not a great comparison to look back over 6 years. If you look at this year, we have a couple of things going on. We have destocking, inevitable destocking, as well as that seasonality. Plus, we have an elevated level of variable compensation, which we will have ratably across the year, which will be abnormally large in Q4 versus previous Q4s. So you really have to look at the granularity of it to see it. But comparing us over the last 6 years isn’t great because we don’t have an Ag business anymore. We don’t have that bigger energy business anymore. But remember, we divested that Ag business and there was always a spike in Q4 with presales for the following year, which we just don’t have anymore.
Operator: [Operator Instructions] It appears you have no questions at this moment. I will now hand it back to Heather Kos, VP, Investor Relations and Communications. Please go ahead.
Heather Kos: Thank you, ladies and gentlemen, for your interest in Univar Solutions. If you have any follow-up questions, please reach out to the Investor Relations team. This does conclude today’s call.
Operator: This concludes today’s call. Thank you for joining. You may now disconnect your lines.